Operator: Good morning. My name is Nina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Horace Mann Second Quarter 2012 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Ryan Greenier, you may begin your conference. 
Ryan Greenier: Thank you, and good morning, everyone. Welcome to our second quarter 2012 earnings conference call. Yesterday, we issued our earnings release, including financial statements, as well as supplemental business segment information. If you need a copy of the release, it is available on the Investors page of our website.
 This morning, the following members of our management team will provide prepared remarks and will be available for Q&A: Pete Heckman, President and Chief Executive Officer; Dwayne Hallman, Executive Vice President and Chief Financial Officer; Tom Wilkinson, Executive Vice President, Property, Casualty; Matt Sharpe, Executive Vice President, Annuity and Life; and Steve Cardinal, who is our Executive Vice President of Marketing.
 The following discussion may contain forward-looking statements regarding Horace Mann and its anticipated results or expected results of operations. Our actual results may differ materially from those projections in the forward-looking statements. These forward-looking statements are made based on management's current expectations and beliefs as of the date and time of this call. For a discussion of risks and uncertainties that could affect the actual results, please refer to the company's SEC filings and the earnings release issued yesterday. We undertake no obligation to publicly update or revise such forward-looking statements to reflect the actual results or changes in assumptions or other factors that could affect these statements.
 In our prepared remarks, we may use some financial measures that are not derived from generally accepted financial measures or GAAP. Definitions and reconciliations of these measures to the comparable GAAP measures are available on the Investors page of our website. 
 Before we turn the call over to Pete Heckman for his comments, please note this call is being recorded and will be available on our website for replay until August 3, 2012. And Pete, you may begin. 
Peter Heckman: Good morning, everyone, and welcome to our call. Before commenting on the quarter, I'd like to welcome Ryan Greenier, who opened this morning's call, to Horace Mann. Ryan joined us recently from the Hartford as Vice President of Investor Relations, and he'll be a regular participant on our calls going forward. I know several of you have already had a chance to speak with him and will join me in welcoming Ryan to the Horace Mann team. 
 After yesterday's market close, Horace Mann reported second quarter operating income of $0.16 per share, which was $0.55 better than last year. While the largest contributor to that improvement was a lower level of P&C catastrophe losses, I am pleased to report that we achieved underlying earnings growth once again across all 3 segments of our multiline insurance platform during the period. 
 In P&C, our property insurance underwriting results benefited from a lower level of catastrophe and for the sinkhole losses in the quarter, which helped offset an increase in the underlying auto loss ratio. And in our financial services business segments, the earnings gains were driven primarily by increased annuity interest margins and improved life mortality. 
 Before the management team provides some more detail on our financial and business segment operating results, I'd like to offer my perspective on how we're doing through the first half of the year relative to our 5 key performance priorities for 2012. Our first priority is to increase the productivity and size of our agency force. From a new business production standpoint, the strong sales momentum from the last 2 quarters of 2011 has carried over into this year, with double-digit increases compared to prior year in both the first and second quarters across all product lines. And while we lost several lower-producing agents this quarter, the number of exclusive agencies continues to grow, and we do expect to achieve a modest increase in the total agency count for the full year. 
 The second priority is to reverse the negative growth trends in our auto line. We are pleased with auto new business production over the last 12 months. It remained strong in the current quarter and is well ahead of prior year through the first half of 2012. In addition, our retention ratio continued to trend favorably in the quarter and is also comfortably above the prior year. As a result, it would appear that our decline in auto policies in force has stabilized. Meanwhile, as I've said before, we are committed to profitable growth in our auto business. And with our underlying combined ratio remaining above 100 in the second quarter, we're targeting a higher level of rate action in the second half of the year in order to maintain an acceptable growth profit balance. 
 Our third priority is to continue to focus on property profitability and maintain the favorable underlying margins we achieved at the end of 2011. While the underlying property-combined ratios in both the first and second quarters of 2012 were well below prior year, we did experience higher-than-expected levels of non-cat weather and fire losses in both periods and will be continuing our pricing, underwriting and claims initiatives in this line. 
 The fourth priority is to build upon the positive results we've achieved over the last few years in our retirement annuity business. In the second quarter, we saw a continuation of double-digit sales growth, high single-digit growth in assets under management, high and increasing levels of persistency and positive fund flows. Those results, coupled with a 7% increase in reported income and the double-digit increase in underlying earnings, are clear evidence of continued strong and balanced performance in this business segment. 
 And finally, our fifth performance priority is to achieve double-digit growth in sales of Horace Mann manufactured life products, with a strategic objective of growing our underwritten mortality-based business over the long term. While this will be an ongoing multifaceted process that builds over time, we're very pleased with the 49% increase in proprietary life product sales we generated in the second quarter on top of the 24% growth recorded in the first 3 months of the year. 
 So all in all, in spite of the near record level of industry-wide catastrophe losses, we feel good about the second quarter. We are very pleased with the first half of the year, and we have positive expectations for the remainder of 2012 and beyond. 
 Now let me turn it over to Dwayne for some additional commentary on our financial results and outlook. 
Dwayne Hallman: Thanks, Pete, and good morning. Horace Mann reported second quarter operating income of $0.16 per share, which was $0.55 per share ahead of prior year. The improvement was primarily driven by a decrease in property and casualty, catastrophe losses and to a lesser extent, more favorable prior years' reserve development, expanded annuity investment margins and lower mortality costs in the life segment. 
 Year-to-date, operating earnings per share of $0.80 were $0.64 higher than the first half of last year. Lower P&C catastrophe losses accounted for $0.44 of the increase. The remaining $0.20 improvement was largely due to a higher level of favorable P&C prior years' reserve development, primarily in auto liability, as well as favorable interest margins in our annuity business. Although catastrophe losses were down $26 million pretax compared to last year, we reported $29.2 million catastrophe losses in the quarter, consistent with the range in our July 19 pre-announcement. On a year-to-date basis, catastrophe losses were $35 million, a decrease of $28 million compared to last year. While the year-to-date catastrophe losses were below prior year, they significantly exceeded our expected losses, and as a result, we reduced our full year EPS guidance range by $0.25. 
 As announced, we now estimate full year 2012 net income before realized investment gains and losses of between $1.55 and $1.75 per share. Importantly, for the first half of 2012, operating results, excluding catastrophes, were generally consistent with our original earnings expectations. The underlying book value per share, excluding net unrealized gains, increased 1% sequentially and 10% over prior year. With a relatively stable but challenging credit market, including continued low treasury yields and tight spreads, the net unrealized gains were $549 million at the end of June, up $108 million from year-end 2011, driving reported book value to $29.06 per share, up 6% sequentially and 29% year-over-year. 
 Pretax net investment income was up 6.4% in the quarter versus prior year, down from an increase of 7.4% reported in the first quarter. Looking forward, we would expect the quarter-over-quarter growth percentages to continue to moderate due to the low interest rate environment. For the 6 months, the 10% increase in annuity segment investment income primarily reflects growth in the portfolio, as well as a decrease in average cash and short-term balances. The combination of these items and the management of annuity crediting rates resulted in a 14% increase in the net interest margin over prior year. Our fixed annuity spread was 211 bps year-to-date, up 8 bps from prior year, which was slightly favorable to our expectations. Looking forward, we would expect a modest decrease in spreads over the remainder of the year, consistent with our full year 2012 earnings guidance. 
 The year-to-date decline in property and casualty segment investment income reflects the cash outflows over the last 12 to 15 months due to the high level of catastrophe losses and a slightly lower portfolio yield. We recorded net realized investment gains of $10 million pretax for the quarter with no impairment write-downs. The current quarter did include some continued rebalancing, reflecting a slight bias toward shortening the duration in the annuity portfolio. 
 In spite of the catastrophe losses in the quarter, our capital and liquidity positions remained favorable relative to our capital management targets and rating levels, both at the insurance company subsidiaries and holding company levels. While the statutory results will not be finalized for a few more days, we estimate the 6/30 life RBC ratio to be approximately 490% and the P&C equivalent to be roughly 525%. Both ratios are comparable to year-end 2011 levels. 
 Recognizing our continued capital strength, we bought back just over 500,000 shares during the quarter at an average price of $17.05 for a total of $8.6 million. Under the program, we have repurchased 860,000 shares and have remaining authorization of $36 million. Our repurchase program is purely opportunistic in nature and considers price-to-book ratio, trading volumes, current year actual results and macroeconomic factors. 
 And finally, as Pete mentioned, Ryan is now leading our Investor Relations activity. Please feel free to reach out to Ryan with any questions or other requests you may have in the future. This contact information is included in the press release issued yesterday. 
 And now to review the current results and trends in our P&C business, let me turn it over to Tom Wilkinson. 
Thomas Wilkinson: Thanks, Dwayne, and good morning. Today, I will summarize our property and casualty profitability and growth results for the second quarter and for the first half of 2012. Weather again impacted P&C profitability in the second quarter. Consistent with our pre-announcement, we incurred $29.2 million of cat losses in the quarter. While not as bad as last year, this was the second highest level of cat losses for the second quarter in our history. The most severe of the 13 cat this quarter were in the upper Midwest and mid-Atlantic regions, where we have above-average penetration in the educator market. As a result, our total P&C combined ratio was 112.8% in the quarter, which included 21.5 points of cat losses. 
 Looking at the auto line, our combined ratio was 101.2% in the quarter. Hail-related catastrophes were unusually high and contributed to $3 million or 3.4 points of auto cat. Offsetting the cat was 3.8 points of favorable prior year development. Consistent with others in the industry, we are seeing increases in our underlying auto loss costs. Recently, we have experienced increased physical damage severities, as increases in used car values, repair costs and total loss estimates are pressuring loss costs. Through 6 months, our auto combined ratio was 100%. As a result, in the second half of 2012, we are increasing rate actions and expanding underwriting programs to improve profitability result to our targeted range. 
 Turning to property. Our combined ratio was 135% in the quarter, with $26 million or 57 points of cat losses. Our underlying combined ratio, excluding cat and the impact of prior year development, was 80.6%, more than 8 points better than last year. For the first 6 months, our underlying combined ratio was about 79%, also about 8 points better than last year. Our underwriting results continue to improve despite incurring a little more non-cat weather and non-cat fire losses than we had expected. We will continue to refine our underwriting programs and increased rate actions to achieve our targeted profitability level. 
 Now for a look at our top line results. Total P&C written premium was up slightly in the second quarter, with auto down 0.2% and property up over 2%. Year-to-date, total P&C premium was essentially even with prior years. 
 As mentioned in our release, we had a strong first half for both true new auto and property sales, with increases above last year of 35% and 18%, respectively. At the same time, the quality of both our new business and our in-force book has remained strong. The percent of our book that is educator, cross-sold and in the preferred underwriting tiers continues to increase. Over 73% of our auto policies and over 80% of our property policies are cross-sold, with at least 1 additional Horace Mann policy. Additionally, over 22% of both P&C lines are tri-line, with at least 2 additional Horace Mann policies, at least one of which is an annuity or life policy. 
 Our policyholder retention is also improving as we continue to increase the number of customers utilizing automatic payment plan by school payroll and EFT. 
 So in summary, underwriting results, excluding cats in the quarter, were mixed. We had continued improvement in our property results, with auto experiencing pressure [indiscernible] severities. We are confident that our targeted rate actions in the second half of the year will result in incremental margin improvement over time. And from a top line perspective, total written premium and PIF declines appear to have stabilized. Retention ratios and new sales continue to improve, particularly in the auto line, setting the stage for future business growth. 
 Now I'll turn it over to Matt for his commentary on annuity and life results. 
Matthew Sharpe: Thanks, Tom, and good morning. I'll spend the next few minutes going over the profitability and growth results for the annuity and life segments. 
 Starting with the earnings for our annuity segment, we continue to see solid increases in account values and margins. Fixed account values increased 11% compared to a year ago and the associated net interest margin improved -- net interest margin earned improved 14% and 16% compared to last year's second quarter and first half, respectively, reflecting on ongoing management of both the investment portfolio and crediting rates. The result in net interest spread was 211 basis points on an annualized basis for the first half, an increase of 8 basis points compared to prior year. Driven primarily by market performance and net transfers, the variable account balances decreased 2% over the prior year. 
 Our annuity liabilities remained extremely stable as positive net fund flows continued in the quarter, and total account value persistency of 94.7% over the last 12 months improved nearly 1 percentage point compared to the prior year. 
 Weak market performance during the second quarter had a negative impact on both the valuation of deferred policy acquisition costs and the level of guaranteed minimum debt benefit reserves and was the main driver of the $1.8 million negative impact from DAC unlocking. For the first half of 2012, there was a $0.8 million positive impact from DAC unlocking. 
 Annuity pretax income for the second quarter was $11.8 million, representing an increase of $0.8 million over the prior year. Compared to the first half of 2011, annuity segment pretax income increased $5.5 million, primarily due to strong growth in the net interest margin. Excluding the valuation of deferred policy acquisition costs and the change in the GMDB reserve, the underlying pretax income increased 16% for the quarter and 19% for the first 6 months compared to the prior year. 
 Our total annuity sales increased 15% and 12% in the second quarter and first half, respectively, driven by single premium and rollover business. Total contract deposits received for the quarter and first half were comparable to last year. 
 Turning to the life segment. Pretax income for the quarter was $9.6 million, an increase of $0.5 million over prior year. For the first half, pretax income of $17.7 million increased $2 million, primarily due to improved mortality costs. Life premium and contract deposits, which consist only of Horace Mann products, were comparable to last year and the second quarter and up 1% compared to the first half of 2011. Sales of Horace Mann manufactured life products increased 49% for the quarter and 37% for the first half. Our life persistency for the quarter remained consistently strong at 95.5%. 
 In closing, it was another solid quarter for both annuity and life sales and a continuation of strong underlying earnings for both segments. 
 And with that, let me turn it over to Steve for his comments on distribution and sales. 
Stephen Cardinal: Thanks, Matt, and good morning. As Pete mentioned, sales momentum continued to be robust, with double-digit increases across all lines of business. These results are driven by increased productivity, as well as the expansion of our exclusive agency force. In addition, the marketing and training programs we introduced at the beginning of last year continue to resonate. As of quarter end, the total agency count of 712 is 20 below the same time last year. This decline is largely driven by the terminations of our lowest-producing agents. While the total declined, it's important to note that our exclusive agency count increased by 62 compared to a year ago. Expansion of our exclusive agencies remains a priority, and we have a strong group of new agency appointments starting in the third quarter. And as a result, we anticipated increase in the number of total agencies this year. 
 Now let's move on to sales performance. Our true new auto unit sales, which represent business from new Horace Mann auto customers, increased 32% for the quarter compared to the same period last year and 35% to the first half of 2011. Our total auto units, which include add cars, increased 16% for the quarter and 18% for the first half. We expect to maintain elevated levels of sales during the second half of the year, however, we expect the percent variance will moderate in the coming quarters as the positive trend [indiscernible] a lot of sales began in the third quarter of 2011. And some more for auto [ph], property sales increased 23% compared to the second quarter of 2011 and 18% compared to the first half.
 Taking a look at annuity, sales were once again strong, up 15% in the quarter compared to the same period last year and 12% compared to the first half. The quarterly increase is comprised of a 16% increase in single premium and retirement rollover sale and a 12% increase in flex sales. By the way, single premium rollover sales have been strong for several quarters. And finally, Horace Mann life sales also increased in the second quarter compared to last year, increasing over 40% compared to last year's second quarter and over 30% on a year-to-date basis. We believe that the marketing programs we introduced in 2011 continue to support the elevated sales and productivity gain. We've built on the success of the retirement seminars and have dramatically increased the number we conducted this year. 
 Additionally, the cost-related marketing effort with DonorsChoose.org continues to generate positive interaction within our target market. And as I mentioned back in February, we are working more closely with school districts to offer our benefit programs, including flexible benefit programs and payroll slots for annuity, auto and life. And of course, when agents are involved in offering these additional services, they are more successful. All these efforts have helped build momentum and contribute to what has been, so far, a successful sales year. 
 To wrap it up, we're pleased with our sales results as we look forward to the second half of the year. We are confident in the success of our marketing and recruiting programs and are optimistic they will continue to generate sales results. 
 Thank you, and now back to Ryan. 
Ryan Greenier: Thanks, Steve. That concludes our prepared remarks. Ma'am, please open the call for questions. 
Operator: [Operator Instructions] You have a question from Bob Glasspiegel with Langen McAlenney. 
Robert Glasspiegel: I was wondering if we could like go drill into the auto a little bit deeper. And what I'm interested in is, what's really going on in that segment? I mean, you're over 100 underlying, you're deteriorating by 2 to 3 points, you mentioned a few trends. I'd be interested in whether there's anything different on BI severity that you're seeing. And in light of where you are, should you really be growing that line of business at all? And how comfortable are you that the recent growth in the last year hasn't contributed to the decline in the results? 
Thomas Wilkinson: Bob, this is Tom Wilkinson. The first part of your question about the underlying trends, last quarter, we had talked a little bit about an increase in BI losses, and it was predominantly -- well, it was injury losses, and it was predominantly frequency-driven severities that started the year pretty well. We had kind of mentioned that due to our size and volatility, we could get spikes in results, and we saw a return to some pretty good injury results in the second quarter. While the frequency remained high, it wasn't as high as it was in the first quarter. We were encouraged by some favorable results on the BI severity side that should kind of offset some of the increases that we saw in frequency. And so other than injury, we kind of mentioned some of the trends -- recent trends that we're seeing on the physical damage severity side. We're hearing that others are seeing the same thing. We had a great first quarter -- or we had a good first quarter in physical damage, and then the second quarter wasn't as good. So that's relatively recent trend. Continuing on some of your questions, we feel really good about the quality of the new business that we're writing, we feel really good about the quality of our book of business in total. I had mentioned that most of the business we write, over 70% -- almost 75% of auto is really a multiline sale and 80% of property is. So we're really kind of a multiline -- well, the most pretty good multiline book of business that generally has more favorable retention experience over time, as well as better loss costs in the segment. So we feel -- I feel pretty good about the quality there. We do -- we are running higher than what our aspirational target is in auto combined ratio in the high 90s. We feel that we're kind of keying up some additional rate actions in the second half of the year, a little bit higher rate actions. We took -- in the first half of the year, we took 20 rate increases, and we took rate increases in 20 states, looking forward to earning that in the -- more fully earning that in the second half of the year, as well as having the, I think, 25 additional auto rate increases effective in the second half of the year averaging about 6% on a file basis. And 18 of those 25 are already -- they're filed, approved and effective and ready to go. So they'll be in sometime in the third quarter as opposed to waiting until the fourth quarter. So we'll earn a little bit of that in the fourth quarter, and for sure, we'll earn all of it going forward into 2013. We have a couple of challenging states. In auto, there's -- our targeted rate increase program is putting more rates into those states. There's a few states in the southeastern part of the country that the loss trends are less favorable than they are elsewhere. A couple of those states are getting their second rate increase of the year here coming up in the second half of the year. So I feel -- we feel pretty good, we do have some rate actions that we got teed up, and we've got some underwriting programs coming down the pike. We see rate actions picking up in the industry. We don't think it's going to impact new business and retention as much as it might if we weren't seeing the competitors doing this. We have had pretty good experience over the last couple of years on the property side of the house, cleaning that up with some targeted rate changes and some increased underwriting programs, and we're kind of modeling these auto initiatives after that. So we feel pretty good about the success of that, and then we'll get our combined ratios down below 100 into the high 90s, which is our targeted range in a matter of time. 
Robert Glasspiegel: So you're saying you're okay having your foot on the gas pedal at 101 underlying through a couple of quarters because the 101 isn't right or would you disagree with my characterization of having your foot on the gas pedal? 
Peter Heckman: Well, Bob, I think -- this is Pete. We're not comfortable with 101 or whatever underlying on a long-term basis. We think we've got actions in place, like Tom mentioned, primarily around pricing in the second half of the year. That's designed to address that. So we don't expect the 101 to persist. We feel good about the new business growth. As Tom said, there's nothing in that -- in the new business we put on in the last 12 months that gives us any indication that it's anything other than very high quality. So we think we can push rates a little bit more without giving up the growth trends that we have seen at least on this material basis because we believe our agents are engaged. We've got some good programs involving them in the whole rate-making process, and we also are beginning to see competitors taking the rates that are going to be comparable with what we're doing. 
Operator: [Operator Instructions] You have a question from Frank Lee with KBW. 
Frank Lee: The property expense ratio ticked up a bit in the quarter. I just want to know if there's anything unusual there. 
Dwayne Hallman: This is Dwayne Hallman. As far as the expense ratio P&C in the quarter, it was above last year, but that's driven by a couple of items. One, on expenses, commission expense, we do expect and have expected that increase as we roll out our exclusive agent program. So that accounts for about 1 point over prior year, but it is right on our expectation. And consistent with our commentary on the call last quarter, we'd expect that to be up 0.5 point to 0.75 point on a full year basis. The other component, as far as just in the quarter, replaced some accruals-related to benefits. Prior year had a slight decrease in the current quarter. This year, the quarter is still based on the timing of the accruals that's actually increased. So a little bit of an apple and orange happening in the quarter, but on a year-to-date basis for P&C, the total expense ratio is right on our expectations. So just a little bit of a noise in the quarter as far as timing but on a year-to-date basis and will be and expect for the year still is consistent with our expectation. 
Frank Lee: Okay, great. And just to mention, the cats in the quarter were from upper Midwest and Atlantic region. Were there any like particular states that were hit particularly or, I guess, where you've seen larger losses in? 
Thomas Wilkinson: Yes, we had a couple, Frank. We had -- in the beginning of the quarter, it was wind and hail, and it was both Dakotas and Minnesota. And we've got pretty good penetration in that -- in those particular markets. And at the very end of the quarter, the last week of the quarter, the storm had started in the Midwest and ended in the Carolinas, did the most damage for us in the Carolinas. And similar to the upper Midwest, we've got pretty good penetration in both those 2 states. 
Operator: And there are no further questions at this time. I'm sorry, you do have a follow-up question from Bob Glasspiegel. 
Robert Glasspiegel: I think I'm not going let you guys get off that easy. Agent growth, you're slipping through the first half, but you're saying you can grow in total. And I recognize your exclusive -- you're growing in the group that you want to grow. But why did you slip in the first half? Is there a seasonality to that? And what gives you confidence that the second half will be better? 
Stephen Cardinal: Bob, Steve Cardinal. We do have some volatility between quarters. Generally, the first half of the year, we don't generally see a downtick as -- unless people finish out their full year. We ended up with -- kind of annualized their performance and worked through some of those conversations in the first half of the year. So we've seen some volatility within that. In the second half of the year, I think we were up 62 EAs for the full year but only a couple this past quarter. We already have our visibility into third quarter, the first few months of staffing count, and we can see that our appointment -- we have a really great group in right now in files that we're looking at. So we anticipate that we'll be kind of finishing our EA count over 600 this year, and we expect -- and we finished 745 total agency count last year. We feel optimistic that we'll be finishing above that number as we look towards the year-end. We generally see terms or termination activity slow down in the second half and our appointment activity increase, and we're looking at pretty positive all of our leading indicators right now towards that going into the second half of the year. 
Robert Glasspiegel: Now we get your exclusive, over 80% of total. Does that mean you're sort of in the eighth inning of a transition? 
Stephen Cardinal: Yes, I think that -- yes, we are very much in the closing in the transition. We've got some really great employee agents that are still operating in our model and we value them, but from the EA transition, we look at that as pretty well complete. We're -- we'll get through this year, and we'll have 4 years in on our EA model. We'll be able to track and see kind of how our first group of EAs have done, and we see them doing better than our old employee model as we brought them on. And each year, subsequent to them, we've improved kind of the retention ratio and the success of them. So we feel really great about the position of the agency force, and this year, we've spent a lot of time on productivity over the last 1.5 years, really, on some of the marketing programs that focus directly on our market. And directly in our niche, it seems to be resonating very well with our exclusive agent programs, so we're really optimistic about the way it's positioned looking forward. 
Robert Glasspiegel: Okay, great. One last question. Dwayne, I think you gave sensitivity a couple of calls ago to what a 2% interest rate whirl would do to 2012, 2013 earnings, and I don't know if you've revisited that with rates, the 10-year and above 40. But any general guidance and how we should think about lower rates and earnings sensitivity? 
Dwayne Hallman: Sure, Bob. I don't think I ran a 2% scenario but that might be coming in to the target range of some. Yes, in the past, we have talked about -- I think we used an example of rates moving down to roughly 3.75% or so, as far as a reinvestment rate is concerned. 
Robert Glasspiegel: I was talking about the 10-year treasury, but maybe I had that wrong. 3.75%? 
Dwayne Hallman: Yes, wasn't really related the treasury, because I've seen spreads that fluctuated as well, so the way we look at it was really on a reinvestment rate. The portfolio has to turn the corner to some expectation, but somewhat, a way you could think about it, for each, say, 25 bps that you changed reinvestment rate by, for us, before any annuity crediting rate management, the EPS impact will be about $0.04 -- $0.03, $0.04 per share. 
Robert Glasspiegel: Okay. And how much -- where are you on new money rates versus where you were at, at the end of the year? 
Dwayne Hallman: For the last quarter, the reinvestment rate was between 3.75% and 4%. 
Robert Glasspiegel: Right. And where did you start the year? 
Dwayne Hallman: About 4.25% to 4.5%. 
Operator: [Operator Instructions] And there are no further questions. 
Ryan Greenier: Okay. Thank you for joining us in our second quarter earnings call this morning. We appreciate your interest in and support of Horace Mann. Feel free to contact me with any follow-up questions at (217) 788-5738. Thanks, and have a nice day. 
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.